Operator: Ladies and gentlemen, thank you for standing by. And welcome to Agora, Inc. Second Quarter 2020 Financial Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. And I would now like to hand the conference over to your first speaker today, Fionna Chen. Thank you. Please go ahead.
Fionna Chen: Thank you, Operator. Good evening and good morning, everyone. My name is of Fionna Chen, I am the Investor Relations Director at Agora. Thank you for joining Agora second quarter 2020 earnings conference call. Joining me today are Tony Zhao, our Founder, Chairman and the CEO; and Jingbo, our CFO. Our earnings results press release and a slide deck can be found on our IR website at ir.agora.io. Reconciliations between our GAAP and the non-GAAP results can be found in our earnings press release. During this call we will make forward-looking statements about our future financial performance and other future events and trends including guidance. These statements are only predictions that are based on what we believe today and actual results may differ materially. These forward-looking statements are subject to risks, uncertainties, assumptions and other factors that could affect our financial results and the performance of our business in which we discuss in detail in our filings with SEC, including today's earnings press release and the risk factors and other information contained in the final prospectus relating to our initial public offering. Agora assumes no obligation to update any forward-looking statements we may make on today's call. With that let me turn over to Tony.
Tony Zhao: Thank you, Fionna. First, I'd like to thank you and welcome all of you for joining us today for our first earnings announcement as a public company. Before walking through our Q2 performance and highlights, please let me spend a few moments describing our business. As more aspects of our lives are mainly online, there is tremendous demand for real-time engagement. Historically, user would need to install a dedicated path to use real engagement such as, Skype, FaceTime or Zoom. However, in more and more cases, users are looking for contextual real-time video engagement that is directly embedded in the application they are already using, whether that is for execution, dating or game purpose. Enabling greater context and more seamlessly - more seamless and immersive user experience with no need switching between apps. This is exactly what we do. The Agora platform provides developers simple, flexible and powerful application programming interfaces or APIs to embed real-time video engagement experience into any application. Ultimately, our mission is to make real-time engagement ubiquitous, allowing everyone to interact with anyone in an app anytime and anywhere. The key components of our platform are our Software-Defined Real-Time Network or SD-RTN and our Software Development Kit or SDK. On top of the SD-RTN and SDK, we offer developers products such as real-time video, real-time voice, real-time messaging, real-time recording and many other user - many other use case especially products. All of these products can be accessed through simple APIs and are fully programmable. Our technology makes developers work more efficient and effective, helping them bringing new apps to market and deliver a better end user experience, resulting in speedier user relationships. Traditionally, it takes a team of multiple developers several months to build real-time video engagement functionalities with high upfront infrastructure costs and without a guarantee on quality and compatibility. With Agora APIs, you just need one or two developers. For most cases only one week of coding and testing no server to be deployed or infrastructure to be built and you get global coverage with stable quality and wide range of functionalities and port compatibility cross platform. This is why tens of thousands of developers around the globe have chosen Agora. We are focused on building developer committee enthusiasm and innovation. We designed our platform so that it's easy to adopt and enables self-serve, ensuring a flexible no touch experience for developers. We offer more than - we offer 10,000 free minutes per app per month, so that developers can experiment with our platform. We have a transparent pay-as-you-go pricing model, so that we can grow with our developers as we grow and scale their offerings. For large customers, we deploy our own engineers to help them integrated and customize our products, creating differentiated user experience for them. As you can see this business model is very efficient and scalable and has allowed us to deliver very strong financial result in this quarter. Now, let me tell you about our Q2 performance and a few key business highlights. I'm pleased to report that we delivered revenue of $34 million for the second quarter, an increase of 128% year-over-year. This was driven by significant usage growth across geographies and verticals, as the demand for real-time video and voice engagement increased significantly in light of the COVID-19. And overall, we are proud to see our platform was used by developers around the world to help people collaborate, learn, play, have fun or just stay connected across business during this challenging times. In addition to tremendous revenue growth, our high-efficient business model contributed to positive GAAP net income, operating cash flow and free cash flow, our active customers reached nearly 1,500 at end of second quarter, up 86% year-over-year and our constant-currency dollar-based net expansion rate was 183% for the trailing 12-month period. In this quarter, our platform continued to track developers with more than 30,000 new apps registered on our platform, bringing cumulative registrations to more than 200 - more than 210 solvent. Working with our developers around the world, we have seen many innovative and promising use case emerging across various verticals. For example, we recently announced our partnership with Scener, a Watch Party Platform that enables anyone to connect and interact or video chat, while watching streaming content together. User can host either public or private, co-working sessions or which party, where our content is synchronized with participants. With real-time video, text followed by Agora. Scener has seen 100 times growth since March because of the know-how, our shared experience that it creates to bring people together in the thing virtual theater at the comfort of their own homes. Another example is a co-listening service launched by a leading online music and entertainment platform. After creating a public or private virtual room, the host becomes a DJ and chose what music to play. On top of the original HD soundtrack streaming to all members in the virtual room. Overlays, our real-time voice engagement layer powered by Agora. It brings user a intimate experience of listening to music, shared songs together with friends without any compromising - without any compromise on new the quality. Online exam and proctoring also emerged in this quarter as a promising use case. Here candidates are monitored online during the pass duration through a real-time video connection and access the screen of the candidate both powered by our technology. This kind of online proctoring and remote invigilation is expanding at a fast pace in both education and corporate training. Those are just three out of 100 contractual engagement use case that are possible to achieve results that at Agora platform. I'm also excited to announce that we are in the process of launching the first-ever experienced level agreement or XLA in real-time engagement. Without industry standard or benchmarks of service quality customers used to be operating in the dark, not knowing how good or bad the quality of service are. A lot of times we have to care the experience of their end-users and their overall results being impacted by the experience. While our XLA covers metrics such successful lock on rate, tera rate and latency that focus on not only service availability, but also on end-user experience. Now with XLA the key metrics associated within we can provide transparency on service quality down to every minute. In average engagement session we will also provide future platform using - usage credit to our customers if they fail to deliver the level of XLA quality we have guaranteed. The XLA will help our developers better serve their end user, understand the quality they are experiencing and also further differentiate our products from the competition. It will be a must-have for any real-time engagement API provider going forward. Finally, I'd like to thank our 600 plus Agorians around the globe for their exceptional performance in our first quarter as a public company and thank you to our developers and partners for their unwavering trust in us. We will continue to create value for our developers and the customers through innovation - through innovation and together, I believe we will one day make real-time engagement ubiquitous. Now let me turn things over to Jingbo.
Jingbo Wang: Thank you, Tony. Hello, everyone. I hope you all are safe and well. Let me start by first reviewing financial results for Q2 and then I will discuss our outlook for the full year. Total revenues grew 128% year-over-year to $33.9 million in the second quarter of 2020. This was due to both organic growth and spike in usage caused by COVID-19. On a sequential basis compared to the first quarter, we continue to see usage at heightened levels with strong sequential growth in the US and the rest of the world, as social distancing and travel restrictions remain in place. On the other hand, climate gradually came back to normal, which lead to lower usage compared to the peak levels we saw in February and March but still much higher than the pre-COVID industry levels. We believe this is because COVID has changed people's long-term behavior towards video engagement. For this reason, we see the increased usage in this quarter as a promising indicator of a long-term growth opportunity and not just a blip as radar. Our trailing 12 months, constant currency dollar based net expansion rate was 183%, again partially due to the COVID-19. As the situation stabilizes, hopefully, we expect our expansion rate would likely come back to levels similar to what we saw in 2018 and 2019. Now, turning to cost expand and margin. A significant increase in demand and a disciplined investment approach, saw net income profitability from both GAAP and non-GAAP perspectives. For my following comments, I will focus on non-GAAP results, which exclude share-based compensation expense. Non-GAAP gross margin for the second quarter was 66.6%, which was 2.8% lower than Q2 last year, primarily due to our international expansion to regions with higher infrastructure costs such as South Asia and South America. Because we currently use one standard pricing for all regions, our gross margin in these areas with higher cost is significantly lower than our overall gross margin. Going forward we plan to address this issue by further optimizing our cost in these areas and gradually shifting toward region-specific pricing. Non-GAAP R&D expense were $10.5 million in Q2, up 114% year-over-year as we continue to build the R&D. R&D expense represented 31.1% of total revenues in the quarter, slightly lower than 33% in Q2 last year. Looking forward, we will continue to focus on our investment on R&D to drive our innovation and strengthen our technology leadership. Non-GAAP sales and marketing expenses were $5.5 million in Q2, up 22% year-over-year mainly attributable to team expansion and increased advertising expenses. So, the marketing expenses represented 16.2% of total revenues in the quarter, compared to 30.4% in Q2 last year. A significant 14% drop in percentage, clearly demonstrates the efficiency and scalability of our developer centric go-to market model. Non-GAAP G&A expenses were $2.6 million in Q2, up 108% year-over-year, mainly due to team expansion and professional services related to the IPO. G&A expenses represented 7.6% of total revenues in the quarter compared to 8.3% in Q2 last year. Non-GAAP operating income was $4.7 million, translating to a 13.9% non-GAAP operating margin for the quarter. This compares to a net loss margin of 2.2% in Q2 last year. And adjusted EBITDA was $5.7 million in Q2, with 16.9% margin compared to 0.7% margin in Q2 last year. Turning to cash flow, our operating cash flow was positive $7.5 million in Q2, up from negative $4.9 million last year. Free cash flow was positive $3.6 million in Q2, up from $6.6 million last year. Moving on to balance sheet, we ended Q2 with $641 million in cash and cash equivalents, up from $152 million at the end of Q1. The increase was primarily due to the net proceeds from our IPO and the concurrent private placement as well as a positive free cash flow. Now turning to guidance, COVID-19 is still an unprecedented variable to our business model where historical experience may not apply. Our guidance on full year revenue reflects a number of assumptions that are subject to change based on uncertainties related to the impact of the COVID-19 pandemic. With that for the full year of 2020, we expect revenue to be in the range of $125 million to $130 million, which would represent approximately 94% to 102% year-over-year plus. In closing, we executed well in Q2 and we are proud of how our team dedicated themselves to supporting our developers and customers around the world. Thank you to the entire Agora team and everyone please stay healthy and safe. Operator, let's open it up for questions.
Operator: [Operator Instructions] The first question we have is from the line of Emerson Chan from Bank of America. Your line is now open.
Emerson Chan: I have three questions. The first question is about the COVID impact. I just wanted to get a rough sense of how much COVID still contribute to the growth in Q2? And what kinds of monthly traffic trend you have been seeing, as we move from May, June to July? And secondly, how should we look at our long-term goal in post COVID environment. In the second half of this year, we expect revenue to grow at a 54% to 67% year-on-year, which I think there should be limited COVID impact in China. So, do we expect this growth rate to sustain in the next few years? And for my last question, which is about the overseas expansion especially in the US. I'm just curious on how we view this opportunity now in the current particular environment in terms of our full year guidance how much overseas rapid growth we embedded in our guidance. Do we assume any impact on the potential restriction in the US in current political environment? Thank you.
Jingbo Wang: Thank you, Emerson. I will take the first two questions and maybe Tony, can talk about the third one. So, as I said in China, COVID really - decision really eased in April and May. And after that I would say the temporary spiking in music caused by COVID was really impacted. Outside China, however same remain pretty much the same in Q2 compared to say March. And therefore, actually we see demand remain at heightened levels and strong growth from use cases and increased usage from users. So, it's a mix of two different situations and it's very hard to quantify exactly how much additional usage was caused by COVID-19 but I would say and it's, I would say it's probably not more than 20% that was really caused by the COVID-19 situation. And in term of the run rate, I guess run rate in June, July and early August up to now so far it's pretty healthy and I would say today to a large extent free from impact of COVID-19. So, we would expect for the end of Q3 - for the quarter of Q4, results shouldn't have too much impact from COVID-19, of course, that's assuming if the situation continues to stabilize and without any further worsening situation such as the people call second. So, that's the first question. And then on the second question, when we move through the height of the COVID-19, we would see demand spike significantly and as things stabilizes, demand, some of the demand will go back or as the situation in China has clearly shown, even after COVID-19, the demand will not go back to pre-COVID levels and again, that's because people change their attitudes towards using video engagement across distance instead of having to do anything face to face and developers and businesses also come to appreciate the efficiencies and the convenience of user engagement and that's why you see many more use cases and users speak around with new to the how video engagement and that will persist now. So, we do see based on long-term prospect and in terms of revenue growth we do see that long-term demand is definitely there, however, what we cannot control is the emergence and expansion - sorry. emergence and macro of use cases that's subject to the developers to eventually build and realize the potential, what we can do is provide more possible and that's really our focus.
Jingbo Wang: For the third question on sales [indiscernible] we want to build a global product and serve global developers and customers and that has been our commitment from almost day one of the company. Now we already have customers around the world not just in US or China, we will continue to focus serving global developers and customers and the trends we are seeing is developers and customers also becoming even more our distributed and diversified. Many of them now have work us with the team across geographics and serve users also around the globe. It's hard to say where many of those where really, are really based. So, we will continue to provide better service to customers and developers to any region around the globe and we continue to build in the markets other than China and the US, will contribute a significant portion of revenue in longer term.
Operator: [Operator Instructions] The question we have is from the line of Yang Liu from Morgan Stanley. Your line is now open.
Yang Liu: Thanks for the opportunity to ask questions. Three questions from my side. The first one, could management update us in term of the demand dynamics from different verticals? I remember that on education, one of the biggest contributor before the IPO, or how about the revenue contribution in the second quarter? And how about the growth in emerging use cases like enterprise, communication and telemedicine, et cetera? And the second question is gross margin outlook, we are happy to see that the company is expanding to new regions. But the high infrastructure cost there is kind of concern, what's the way look at our forecast in the long term gross margin, given the dynamics of entering new market and also streamline cost there? The third question is management update as in term of the technology performance versus major competitors in different markets, especially given that Agora launched the first industry standard. Do you expect that competitors will be able to catch up in term of the technology performance? Thank you.
Jingbo Wang: Thank you. So I will take the first two questions. First of all, on demand dynamics. In fact, the contribution from education in Q2 was lower compared to Q1. And the reason was that in China, where we generate a third of the revenue from education sector at the moment, our Q1 was really kind of the peak of the - to which level, because all the schools were closed and a lot of the education providers had to have their classes online. And that caused a significant increase in demand and - towards the end of April, and May, gradually schools reopened across the country with a few exceptions. And then somehow those demand actually fell back, and that's why in the short term, Q2 compared to Q1, in the short term demand from education actually decreased. However, looking forward, we continue to believe that education is the most promising vertical, both, because the online education sector is growing very rapidly, not just in China, but across the globe. And secondly, the traditional public school education are also incorporating more and more video features. So distance learning is part of their overall offering. So we see - we continue to see strong demand from all platforms. Previously we only focused on - we were mainly focused on small class more and now we see that more and more large classes are also moving - also starting to adopt our key technology, powered by us instead of the traditional one-way streaming technology. And in term of emerging use cases, we continue to see many experiments that Bin Zhao clearly mentioned earlier in his remarks that [indiscernible] like exam factoring. And obviously, as we mentioned, in the past communication and also healthcare. These use cases currently contribute - they contribute to a small portion of the total revenue, but we see very strong growth there. So, if we take a longer-term view, in a sense they will contribute to a greater - material proportion of our revenue. So the second question, on gross margin outlook. What we saw in Q2, again, partially due to COVID-19, was that lot more use cases - lot more ex from countries such as Brazil in South America - South Asia, Eastern Europe or even Africa. And the situation in these areas is the infrastructure cost and this co-location space, as we see, is actually more expensive. On the other hand, the price is the same and that cost depressed margin in these areas. Previously revenue contribution from these areas were much smaller. So impact was lessened here, and we also saw that it was much more international across region, engagement activities on the type of which obviously would involve higher infrastructure cost, but again, these charges is same for us for any engagement, and that's, again, partially due to COVID. So, as I said, we will try our best to reduce our cost in those areas and we will start experimenting with consumer pricing, so that we can easily reach you. However that's in the near term - in the immediate, next one or two quarters, which means we're continuing to be on pressure in term of gross margin. In longer term, we do believe, as we scale, we will enjoy from better company scale, and hopefully, the market will come back to a more normal level as we have seen in the past.
Tony Zhao: All right. For the - and on the performance leadership, provide through, I think I mentioned a few things, including on the background we also keep rolling out improved audio and video quality releases. But one thing I specifically is accelerating, where is industry first experience level agreement which guarantees the experience level we provide through our [indiscernible], which is not really recommend in past. It's only guarantee of your - of availability. But I'd rather, give you a sense and the level of guarantee of whole goods also audio and video experience are. It's like adding a dashboard for car initially before in the past. It's almost like every customers are driving a car without dashboard. But now we are adding dashboard for the first time for the whole industry. And we are also working on additional new in-blocks to help are developers to - more easily create real-time engagement sessions or use cases. So for that, I think that funding experience level agreement, it’s something really focused on helping our customers and developers better use of technologies create their yield experience or use cases. It will be something that in the future every provider for such APIs has to provide. I believe - that's going to be trend. To that topic also like to invite you to join us at our RTE 2020 conference for more product announcement and real-time engagement news. This is an annual conference hosted by Agora in San Francisco and Beijing. This year it will be a global virtual event, starting on October 13 to 14 for U.S. and European - for U.S. and Europe time zone. And then October 22 to 24 for Asia time zone registrations will be open very soon.
Yang Liu: A quick follow-up here is related with the escalating China U.S. attention given Agora’s - through headquarter in Silicon Valley in Shanghai and high exporter towards China and the U.S. markets. How did this kind of geopolitical tension impact the business, particularly given some of the customer already has banned the U.S.? Thank you.
Tony Zhao: So U.S. revenue contributions so far, for us it's high single-digit percentage were not presently of any impact or potential impact to our business. But we don't want to speculate on where things will go. We will use worry we will be more careful and watch closely to how things will go as always to us. I think why it always change is only certainty as we anticipate in the future. Today, the world is perhaps in the state of change which some of us may find uncertainty perhaps some of those changes are seemingly beyond our control. And we don’t want to focus on the things we cannot control rather we want in fact focus on the things we can work on. In any case, we want to reiterate our unwavering commitment our core developers and customers including those in the U.S. We're fully prepared and will meet our tenants wherever there may be and - whatever it may take. And we will always be open and transparent to our most important tenants our people, our developers and our customers.
Operator: [Operator Instructions] And the next one we have is from the line of Rich Valera from Needham. Your line is now open.
Richard Valera: A couple of questions from me first, you saw really strong quarter-over-quarter gains in new active customers on the platform in Q2. And I'm wondering what you attribute that to, if there was any new or different marketing or new business development activities that may have driven that or do you think perhaps COVID was a catalyst? But presumably those customers are new and didn't really contribute to revenue but will contribute to future periods so, just wanted to see if you can give any color on those strong new customer additions?
Jingbo Wang: So for us it's really in conversion cycle, initially we have developed registration. So, these purchased on the platform it carries per minute, they try to expand and then as use cases are validated it will start to scale. And then quickly they become customers and really start to increase. So, the increase in the number of active customers will continue which will define as customer’s group contributed to continue $100 of revenue in past 12 months. I think the precursor to that was the rapid increase in developing registration. As you can see we added more than 20,000 registration acts in Q1 and again more than 30,000 in Q2. I guess that's probably one indicator. You can look at or you can move it is this source the kind as the customer talks.
Richard Valera: That makes sense. And then you identified two 10% plus customers in the first quarter I think one is the social media platform, one was in e-Learning customer. Did you have any 10% customers in the second quarter.
Jingbo Wang: Yes two and more most of them are still our customers and each of them contributed about 9% of revenue in Q2, down from 14% and 10% in Q1. And as we disclosed before, the 14% customer in Q1 was attrition customers and a big part of their business was offline physical, the classrooms and that's why in Q1 all part is online with our help and in Q2. Naturally, some of that demand faded but still they remain as a very significant customer of us.
Richard Valera: Understood and then just one more if I could. Your new quality of experience measuring platform I think you call it [indiscernible]. Could you tell us where you are in the rollout of that has it been out there are you talking to your customers at this point and what feedback have you gotten on it if it has been out in the field at this point?
Tony Zhao: Yes so I think that it's in the process of launching on such agreement with all our customers again it's experience level agreement basically it's not guarantee the availability of our servers or APIs rather a currency the latency of real-time audio or video or the trigger of the real-time audio/video. Those kind of things and if I looking at those measurement you would be able to know in the matter how many minutes are running a day our platform or our 10 million minutes a day in running our platform. We will know how many minutes it’s in premium quality, how many minutes are out of the total warrant is non-premium quality, which is a good - transparency to our customers. So we are understanding of the service we'll have engagement service running now. Clearly they would be running those services for their education purpose or social purpose but we are able to those numbers and kind of to know how good it is or how good or how bad it is. We can have a sense of how their socialized or patient our customers are specification would be, that will be learned from our early sign ups or agreement signing with our customers so far. I think we received tremendous welcome for that rollout. And maybe I can further point out that this kind of product or services it's not really for our interest it’s rather you consider of benefits to our customers and developers. It actually give us a higher standard to meet in the future. We have to deliver the experience level so that we will be able to satisfy agreement we have with them. And we also put in their commitment by agreeing on if we are not meeting the level we will complement that with additional credits in the future. So this is a very serious commitment to our customers.
Richard Valera: That's helpful color. Thank you.
Tony Zhao: Thanks.
Operator: [Operator Instructions] The next one we have is from [indiscernible]. Your line is now open.
Unidentified Analyst: So one question for Tony and another one for Jingbo first, one for Tony could please give us a preview of your product roadmap is that in R&D in the future. For example what kind of new products or futures are going to introduce in the next one year or two. And secondly for Jingbo your sales and marketing expense ratio improve a lot in the quarter, I believe you direct driven go-to-market motion is very efficient. But given the huge amount of opportunities going forward, how do you think about the balance between investment for the future and productivity improvement? Thank you.
Tony Zhao: Yes - as I mentioned a little bit just now we have quite a few product under development on our roadmap where one of the things I mentioned was on real-time engagement APIs. It's going to provide additional support other than this real-time audio and video. And we’ll follow it or help our developers and customers more efficiently create new use cases. This is something we have been to rollout in the next quarter or so. And as I mentioned that’s our aim experience level agreement and another major offering on major commitment. We will start to rollout to our customer in regions and there are more exciting news, there will be announced in our RTE 2020 conference which is annual conference it's also the largest one in the industry. You're welcome to bring that event to know more around those that announcements.
Jingbo Wang: So sales marketing expense, it's true that the sales marketing expense as a percentage of revenue, top significantly this year compared to last year. And I think that's largely due to our developer focused a good market model for some, developer community and [indiscernible]. What we have seen is that this is not a sales-driven business model so what I mean is we can’t pretty just drive sales simply by hiring more sales person. This is a part of that requires deep integration and requires trust from developers and that's why it's always more important, more efficient to go with developers work and so far we have being doing that so happening through our conferences and through all the online for our developer hubs where we have pretty strong presence. And so as we would announce our developers who have used our service. So it's hard work and it's pretty long-term work and that's why in this year our revenue increased the sales and marketing expense simply cannot catch up and that's why we enjoyed very strong operating leverage and our margin improved significantly. So, looking into the future I totally understand what you mean how to balance the investment was profitability in the short run. I guess the point is, now that we don't want to invest for future. We certainly do, but the question is how can we invest more efficiently. We think again will do a lot of new things to further strengthen our developer community. And our developer engagement efforts, but that will not be in the form of simply have more salespeople. And again what that also means is we don't expect sales marketing expense will grow at the same speed as revenue right now.
Operator: Thank you. We don't have any further question at this time. [Operator Instructions] And the next question we have is from the line of [indiscernible]. Your line is now open.
Unidentified Analyst: So I have two questions. So the first of all is how do we think about our customers such as for example the education clients or the short video client that they do their own RTE solutions internally. Do we think that self development can be threat going forward. And my second question is, how do we think about industrial level competition. What is the overall market share and what is the pricing customers versus others? Thank you.
Tony Zhao: So - for the customers who is trying to build their own in-house solution I think it's something we've been doing this from the beginning of this company or this opinions. Actually initially, because there is no so called third-party professional provider on this we have to convert one-by-one from in-house technology to our platform. And we've successful in our big size, smaller size or some of those workers are very successfully migrated almost all of them. But still, there will be several or simultaneously larger ones, they do tend to want to at least hirer based on developer for the reason of maybe thinking they could be something as good or they could be more customized to our need, which we would consider that as normal practice. We run to day-to-day. But for our view I think our focus is trying to really become the professional third-party provider, which can show the strengths on all side on continuous of APIs on capability and for the coverage all that. In fact the accelerating agreement as I mentioned is now is something I never seen any in-house developers really have which we think as a professional provider and further strengthen our strengths on showing our value to these customers. But it will be a trend that we continue to manage to increase our competitive our advantage over those profits and we have the belief that eventually our third-party provider will be more efficient and more effective and more professional in doing so. And another question is around competition, I think again this is a saying that in the industry from I think three years after we established and 15 going especially when macro becomes bigger and bigger. But overall I think because the industry is quite early, maybe everyone in this industry understanding towards better population and direction of the industry goals might not be the same like again I will refer back to accelerate. This is something we are the first one to rollout in the whole industry which shows our understanding and commitment to our developers and customers' needs while in other companies does not really moving off this offering. I don't think we are really competing on that direction. So we will look more into our customer demand and needs and the truth is, we are actually see a lot of additional demand that we haven't yet fully satisfied, which is an area we are going to continue to focus on.
Operator: Thank you. Again, we don't have any further question at this time. [Operator Instructions] We don't have any further question at this time. I’ll now hand the conference back to today's presenters, please continue
Tony Zhao: All right, thank you for joining our conference call. And welcome to - again please state our future events and join our RTE 2020 online events.
Jingbo Wang: Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you all for participation. You may now disconnect.